Tom Morabito - IRO:
Shyam Reddy - President and CEO:
Kim DeBrock - VP, Interim Principal Financial Officer and CAO:
Greg Palm - Craig-Hallum:
Reuben Garner - Benchmark Company:
Kurt Yinger - D.A. Davidson:
Jeffrey Stevenson - Loop Capital:
Operator: Ladies and gentlemen, thank you for standing by and welcome to the BlueLinx Holdings First Quarter 2025 Earnings Conference Call. At this time, all participants are in a listen only mode and today's call is being recorded. We will begin with opening remarks and introductions. At this time, I would like to turn the conference over to your host, Investor Relations Officer Tom Morabito.
Tom Morabito : Thank you, Operator, and welcome to the BlueLinx first quarter 2025 earnings call. Joining me on today's call is Shyam Reddy, our President and Chief Executive Officer, and Kim DeBrock, our Vice President, Chief Accounting Officer, and Interim Principal Financial Officer. At the end of today's prepared remarks, we will take questions. Our first quarter news release and Form 10-Q were issued yesterday after the close of the market along with our webcast presentation, and these items are available in the investor section of our website, bluelinxco.com. We encourage you to follow along with the detailed information on the slides during the webcast. Today's discussion contains forward-looking statements. Actual results may differ significantly from those forward-looking statements due to various risks and uncertainties, including the risks described in our most recent SEC filings. Today's presentation includes certain non-GAAP and adjusted financial measures that we believe provide helpful context for investors evaluating our business. Reconciliations to the closest GAAP financial measures can be found in the appendix of our presentation. Now I'll turn it over to Shyam.
Shyam Reddy : Thanks, Tom, and good morning, everyone. Our first quarter results were highlighted by gross margins of over 18% for specialty products and just over 9% for structural products, despite the impact of continued price deflation in some categories and lower volumes in others due to weather and macroeconomic forces. Broadly speaking, while market-driven price deflation has improved since Q4, it continues to have an impact on our financial results, especially in certain product categories. That said, we partially offset this deflation by driving volume growth in engineered wood products, lumber, and panels. We continue to execute on our local and national market share gain strategies to grow our key specialty product categories, engineered wood, siding, millwork, industrial, and outdoor living products, at a higher rate than our structural product business in order to shift the product mix over the next several years across all of our customer segments. Our digital transformation efforts are on track, with Phase 1 set to be completed by Q3 2025. We believe that our continued focus on modernizing the business with new technology will ultimately enable us to differentiate ourselves in the market, allowing us to accelerate our profitable sales growth and operational excellence initiatives. We also continue to explore and evaluate Greenfield and M&A opportunities to expand our geographic reach and to support our specialty product sales growth initiatives. Our Greenfield in Portland, Oregon, is performing better than expected and has been expanding its product offering every month. Leading products currently include LP siding, followed by structural panels and lumber. We expect to continue expanding our product offering by leveraging key supplier relationships. As we roll out additional Greenfields in high potential locations, we expect to apply best practices learned in Portland. Now turning to our first quarter results, we generated net sales of $709 million and adjusted EBITDA of $19.6 million, for a 2.8% adjusted EBITDA margin. Adjusted net income was $2.3 million, or $0.27 per share. Specialty products continue to account for approximately 70% of net sales and about 80% of gross profit for Q1. Specialty product net sales decline nearly 5% year-over-year due to continued price deflation, mostly in engineered wood products and millwork. Volume pressure, most notably in siding and industrial products, also played a role as poor weather, lower housing starts, and lower R&R activity, depending on the market, had an impact. Our west region, and in particular Texas, experienced significant headwinds due to the challenges faced by large track builders. As I mentioned earlier, these declines were partially offset by strong volume growth in EWP, where we are gaining market share in the strategically important category. We also delivered gross margin performance of 18.7% in specialty products. I would also like to note that the results for specialty products improved significantly in March, when compared to January and February. Structural product revenues increased more than 3%, largely due to significant price increases in lumber, combined with volume increases in both lumber and panels. These increases in volume were largely due to growth in our multifamily business, where similar to EWP, we believe we are gaining market share as a result of our focused multifamily share gain strategy. For the quarter, industry average lumber prices were up 13%, while panel prices were down 13% year-over-year, we once again leveraged our strategic approach to inventory management and our centers of business excellence to manage margins. Our focus on business excellence continues to deliver solid gross margin performance quarter after quarter, despite challenging market conditions. Furthermore, our focus on driving an enterprise-wide corporate strategy enables us to better leverage our diversified customer base, geographic footprint, and scale to navigate the challenging landscape effectively. This disciplined approach positions us very well for the housing and building products market recovery when that occurs. Lastly, on the quarter, our financial position remains strong, and our significant liquidity leaves us well-positioned to achieve our vision, execute on our profitable sales growth strategy, and take advantage of share gain opportunities as the market rebounds. We also continue to have the flexibility to demonstrate our commitment to returning capital to shareholders by repurchasing $15 million in shares during the first quarter. Now, let's turn to our perspective on a broader housing and building products market. As you all know, the housing market is challenging, which is putting pressure on the building material sector. Housing affordability and high mortgage rate concerns were being addressed with value engineering, builder concessions, and declining mortgage rates heading into the year. The impact of these measures are now being tempered by declining consumer sentiment tied to tariffs, stock market declines, and inflation fears, to name a few. On top of that, we're operating in the lowest existing housing sales backdrop in 30 years, which is a powerful force for driving repair and remodel activity. The impacts of the new administration's policies should be temporal as the long-term fundamentals of housing are strong. Currently, the U.S. is 4 million homes short, which is better for the building product sector than being in a situation where supply far outstrips demand, a problem the building materials and housing sector experienced during the financial crisis in the aughts. And at some point, homeowners will need to improve their existing homes or drive existing home sales activities to meet family formation and other personal needs, thereby driving greater repair and remodel activities. In the meantime, there will continue to be general uncertainty about the timing for sustained housing recovery. In fact, we're seeing this flow through various indicators of builder and consumer sentiment. March total and single-family housing starts were down considerably. On the other hand, multifamily housing starts were significantly higher on a year-over-year basis. Builders' confidence and consumer sentiment levels are trending downward as well. Repair and remodel spending continues to be soft, given low existing home sales. Despite this softness, our strategic focus on national accounts is enabling us to grow this business on a year-over-year basis. And as the housing turnover increases, we believe the investments we're making today will accelerate our growth efforts in the repair and remodel-driven business when the markets improve, which we cannot predict the timing of. Although the near-term outlook remains uncertain, we continue to believe in the long-term prospects of the housing and building product sector. It is estimated that more than 1.5 million homes need to be built every year for the next 10 years to meet the anticipated housing demand, which is probably a low estimate based on the actual need due to a variety of demographic trends. We took the anticipated demand curve and the fundamental drivers for housing and building products into account when we developed our share gain strategy to drive profitable sales growth. Tariffs, however, will put pressure on our gross margins. Even though we expect to pass them along via price increases, we believe that it will be difficult to maintain our most recent margins with certain product categories given the expansive scope and magnitude of the tariffs. Regardless of market conditions and administration policies, we will continue to emphasize our product and channel growth strategies and, in particular, our multifamily growth strategy to gain share in an otherwise challenging market. I remain convinced that our enterprise-wide product and channel strategies are good for long-term success as they are designed to fully leverage our scale to drive profitable sales growth in the toughest and best of housing market conditions. Due to the first four weeks of Q2 2025, margins for specialty products were slightly below Q1, which is largely attributable to regional and competitive dynamics surrounding certain specialty product categories. Structural product margins were slightly better during the first four weeks, which is mainly due to higher lumber prices when compared to earlier in the year. Daily volumes are up mid-double digits for specialty products and up mid-single digits for structural products in Q2. In addition, it is important to note that while industry-driven specialty products price deflation continues to impact our top line and cost of goods sold, the situation once again improved in Q1. In the first quarter, specialty pricing was down low single digits, while in the fourth quarter of 2024, specialty pricing was down mid-single digits, and in the third quarter of 2024, pricing was down high single digits. For the first four weeks of Q2, pricing has been generally flat relative to Q1. Given the political backdrop, inflationary pressures, and discussions with our vendor partners, we are optimistic that the specialty pricing volatility will stabilize at some point. However, the outlook for volumes may be tempered significantly by these same factors, tariffs, high mortgage rates, and general economic uncertainty. In summary, we delivered solid results for the first quarter of 2025. We are also delivering on our strategic priorities, as seen by our specialty product expansion efforts, margin performance and capital allocation initiatives. Focus and clarity will continue to be critical in a successful execution of our strategy for the remainder of 2025. I'd like to end by thanking my fellow BlueLinx associates for their continued perseverance and can do spirit within a challenging housing market and for their dedication to our customers, our suppliers and the communities they serve. Our teams are committed to generating profitable specialty and structural product sales to ensure that we position ourselves for long term success. Regardless of short term market conditions. Now, I'll turn it over to Kim who will provide more details on our financial results and on our capital structure.
Kim DeBrock : Thanks, Shyam and good morning everyone. Let's first go through the consolidated highlights for the quarter. Overall, both our specialty and structural products businesses delivered solid gross margins, despite the impact of price deflation and a challenging macro picture. Pricing and volume declines in specialty products were partially offset by pricing and volume gains in structural products. Net sales were $709 million down 2% year over year. Total gross profit was $111 million and gross margin was 15.7% down 190 basis points from the prior period. Similar to previous quarters, our first quarter 2025 results for specialty products included a net benefit for import duty related matters of $2.4 million. More details on these matters are available in our 10-Q. SG&A was $94 million up $2.8 million from last year's first quarter. The increase was mainly due to continued investments in technology associated with our digital transformation and higher logistics costs. Net income was $2.8 million or $0.33 per share. Adjusted net income was $2.3 million or $0.27 per share. Tax expense for the first quarter was 1.3 million or 32.3%. For the second quarter, we anticipate our tax rate to be in the range of 29% to 33%. Adjusted EBITDA was $19.6 million or 2.8% of net sales and includes the favorable duty related matters. Not including these matters adjusted EBITDA would have been $17.1 million or 2.4% of net sales. Turning now to first quarter results for specialty products. Net sales were $480 million down 5% year over year. This decline was driven by overall price declines, primarily for engineered wood, and by overall volume declines, mostly for siding, partially offset by volume increases for engineered wood. As Shyam mentioned, given current market conditions, we are optimistic that the specialty pricing volatility will abate at some point. Gross profit from specialty product sales was $90 million down 14% year over year. Specialty gross margin was 18.7% down 200 basis points from last year's 20.7%, primarily due to price deflation, decreases in volumes, and the impact of duty related items. Excluding these items for both periods, specialty products gross margin would have been 18.2% in the first quarter of 2025, down 120 basis points from first quarter 2024's 19.4%. Through the first 4 weeks of Q2, specialty product gross margin was in the range of 17% to 18%, with daily sales volumes higher when compared to both the first quarter of 2025 and the second quarter of 2024. Now, moving on to structural products, net sales were $230 million up over 3% compared to the prior year period. This increase was primarily due to higher lumber pricing and increased lumber and panel volumes when compared to last year. Gross profit from structural products was $21 million, a decrease of 10% year-over-year, and structural gross margin was 9.3%, down 130 basis points from the same period last year. In the first quarter of 2025, average lumber prices were about $456 per 1000 square feet, and panel prices were about $534 dollars per 1000 square feet, a 13% increase and a 13% decrease, respectively, compared to the averages in the first quarter of last year. Sequentially, comparing the first quarter of 2025 with the fourth quarter of 2024, lumber prices were up about 6% and panel prices were down about 2.5%. Through the first four weeks of Q2, structural products gross margin was in the range of 9% to 10%, with daily sales volumes improving from both the first quarter of 2025 and second quarter of 2024. Looking now at our balance sheet, our liquidity remains excellent due to the strong execution of our strategic initiatives and effective management of working capital. At the end of the quarter, cash on hand was $449 million, a decrease of $57 million from Q4, largely due to the normal seasonal changes in working capital. When considering our cash on hand, an undrunk revolver capacity of $346 million, available liquidity was approximately $795 million at the end of the quarter. Total debt, excluding our real property financing leases, was $374 million, and net debt was a negative $75 million. Our net leverage ratio was a negative 0.7 times, given our positive net cash positions, and we have no material outstanding debt maturities until 2029. Our balance sheet and liquidity remain strong, and when combined with our solid EBITDA generation, we are well positioned to support our strategic initiatives, including our digital transformation efforts. These strategic initiatives include investments and our highest return prospects, such as organic and inorganic growth initiatives and opportunistic share repurchases. Now moving on to working capital and free cash flow. During the first quarter, we generated operating cash flow of negative $34 million and free cash flow of negative $40 million, primarily driven by lower net income and changes in working capital. Turning now to capital allocations. During the quarter, we spent $6 million in CapEx, primarily tied to our digital investments and to improve our fleet and distribution facilities. For 2025, we plan to manage our CapEx relative to market conditions and our plan to maintain a strong balance sheet. These investments will focus on facility improvements, further upgrades to our fleet, and the technology improvements previously discussed. Our digital transformation will also have approximately a $5 million impact on operating expenses in 2025 related to software license implementation, as well as increased headcount associated with this initiative. As Shyam mentioned, during the first quarter, we repurchased $15 million of stock and we had $31 million of repurchases remaining at quarter end on our current share repurchase authorization. We are committed to our share repurchase efforts and plan to remain opportunistic in the market. Our guiding principles for capital allocation remain consistent. We intend to maintain a strong balance sheet, which enables us to invest in our business through economic cycles, expand our geographic footprint, and pursue a disciplined M&A strategy, as well as return capital to shareholders. We also plan to maintain a long-term net leverage ratio of two times or less. Overall, we are off to a solid start in 2025 and we're pleased with our gross margins in both our specialty and structural products in light of the challenging macroeconomic environment. Our strong balance sheet and our liquidity positions us well to execute on our strategy and continue to opportunistically return capital to shareholders. Operator, we will now take questions.
Operator: [Operator Instructions] Your first question comes from the line of Greg Palm with Craig Hallum Capital Groups. Your line is now open. Please go ahead.
Greg Palm : Yes, thanks. Good morning. Thanks for taking the questions. I wanted to start with the specialty gross margin commentary because I think I heard a couple things and I just, you know, wanted to clarify a few of that. So, can you talk about the impacts and the associated, you know, sort of outlook as it relates to kind of the challenges in the overall market and then how does tariffs tie into that? Because it sounds like the quarter to date commentary was more along the lines of a market-related slowdown and some sort of, you know, maybe some implied competition. But I think you also mentioned, you know, tariffs and not being able to pass all along. So, I just, I wanted to kind of get your thoughts on, you know, those two variables as it impacts specialty gross margins?
Shyam Reddy: Thanks for the question, Greg. So, basically, to your point, we've had competitive pricing pressures, unconstrained supply and softer demand just due to market conditions that have made -- have put pressure on certain specialty margins. As it relates to tariffs, we absolutely plan to pass along the impact of tariffs, which would go through COG, go through pricing, et cetera. But, you know, the question will be, will the market be able to not only take the price increase due to tariffs, but also take the required margin expansion in order to maintain historical margins? That's the real question. And so we may, you know, the simple math is we would generate the same gross profit dollars driving the tariff cost through via pricing, but then the margin would come down to some degree depending on the magnitude of the tariff and the country involved on just an apple to apples basis.
Greg Palm: And just to be clear, have you or the market adjusted pricing in certain categories at this point? Or is this just dependent on what happens, you know, over the coming months?
Shyam Reddy: Yes, no, nothing has changed with respect to our pricing, you know, like, for example, our pricing strategy and how we go about pricing effectively based on the services we provide. As it relates to tariffs, to the extent that tariff is actually implemented, and it flows through COG, we pass that through. There hasn't been a major market lift due to tariffs other than in the early days of tariff conversations, we saw lumber pricing pick up in advance of potential tariffs on Canadian lumber. But otherwise, you know, we know that the 10% tariff from, you know, across the world, that's one thing. It's the reciprocal tariffs that have been paused. But right now, the market is just passing along any costs that come through and sort of maintaining the course until more clarity is provided. From a cost of goods standpoint, as we look at all of our, you know, look at the impact of tariff increases, we expect a single digit impact to COGS if the ones that have been announced actually go through, but that's all up in the air, as we all know.
Greg Palm: Okay, that's helpful. And I guess just as it relates to inventory levels, which are a little bit elevated, relative to the last couple of years, are you able to sort of break that out or which, you know, segment or categories, you know, that's most being impacted and just on a go forward basis, how are you managing things?
Shyam Reddy: Yes, I would say -- well, first of all, we're continuing to maintain our disciplined approach to inventory management, and we have a very regular cadence around that inventory management around the two categories, specialty and structural. There are, you know, term day goals, inventory reduction targets, et cetera, that we manage over the course of the year. As it relates to the bill, a lot of that is a function of kind of the soft start to the year, some of which was due to the weather. You know, if you look at the weather this year, which we talked a little bit about it on the February earnings call, the difference between this year and last year is the bad weather continued for a longer period of time and hit some of our bigger markets more so this year than they did last year. And on top of that, even if you didn't have a blizzard per se, you had extended periods of cold weather, which had an impact on building. So, for example, in certain markets, you know, on a very simplistic basis, the nail guns wouldn't work. So, that led to some of the inventory bill, the softness in the market, but as we stated, heading into Q2, our volumes are up pretty significantly on a sequential basis, and they're up on a year-over-year basis. And that's a function of our channel and product strategy on top of potentially some pent-up demand that got released in Q2.
Greg Palm: It makes sense. Okay. I will leave it there. Best of luck. Thanks.
Operator: Your next question comes from the line of Reuben Garner with the Benchmark Company. Please go ahead.
Reuben Garner : Thank you. Good morning, everybody. Sorry to harp on the specialty margin and the tariff thing, I do have two follow-ups there. So, on the specialty side, I guess, why would your volumes up sequentially, your volumes up year-over-year, and you're starting to see competitive pressures here in April, I guess, the first four weeks, your margins are lower. Can you help me kind of connect those dots? Like, if your volume is getting better, and I assume the market's getting better as kind of some of the pent-up demand from the winter weather issues, like, why would it be more competitive now than it was over the more challenged winter months?
Shyam Reddy: Yes. So, well, the market is softer to some degree. So, there's a lot of competitive pricing pressure in the market to win programs or to maintain programs, you know, and we're playing that game, right? So, we have no choice but to not only maintain our own, but we are gaining new programs. So, there is that. There's enough supply in the market, especially on a relative-to-demand or the demand curve. As it relates to sort of the incremental volume growth, and as we think about how we're gaining share, we have this dedicated focus on the multifamily segment. And as I've said before, we clearly have a shortage. That shortage will exist over the next decade. It's getting worse, not better. And the only way to bend the curve is to build more faster, which multifamily helps do. We also have the right set of products that support multifamily in a very healthy way. And so, that dedicated focus or that greater emphasis on multifamily is enabling us to gain share in a number of markets. At the same time, we have greater emphasis on national accounts, which can truly take advantage of our scale. And there are certain categories where we're driving growth. For example, like EWP, whereas in the past, we didn't necessarily sell as much EWP through national account channels. So, it's an exciting time as it relates to our strategy from a channel standpoint. And then from a product standpoint, we continue to expand our geographic reach with respect to certain strategic product suppliers. At the same time, we're expanding our SKUs with our suppliers. All of that said, despite the fact that we're growing margin and gaining share, we're doing so in very challenging market conditions, which is leading to some competitive dynamics at the local level, depending on the market. So, the West, for example, as I mentioned in my remarks, is very challenged due to some demand softness with respect to track builder business, as well as multifamily in Texas in particular.
Reuben Garner: Got it. And to be clear, some of the new channels and geographies you're trying to grow in, are those also pressuring margins in the near term as you ramp up your multifamily exposure, as you ramp up your greenfield, as you ramp up growth in some of these other categories in different markets? Are you taking a gross margin hit initially and in time that will recover, or is that not a factor?
Shyam Reddy: You know, actually, so as I think about some of our greenfield opportunity, for example, in Portland, and as I said in my remarks, we're doing better than we expected. There's nothing different up there tied to the greenfield in and of itself. There are normal market conditions that from a softness standpoint, the Pacific Northwest that are flowing through the P&L. That said, as it relates to volumes and our EBITDA, our adjusted EBITDA in that market, we're doing better than expected. So, we're managing our costs more effectively. We're also gaining new business because we're closer to the customer as it relates to our cost of service lower. So, there are a number of things that we're able to do because we're in market in terms of expanding our product sales to those customers in that market, which is allowing us to expand faster than we expected. You know, that said, again, there's still softness in the market up there, and normal competitive pressures apply there just as much as they apply in other parts of the West.
Reuben Garner: Okay, and then last one for me, on the tariff front, what exactly are you selling that would be exposed to tariffs other than, you know, just commodity lumber and sheet goods?
Shyam Reddy: Yes, we have, so under one of our brand's PrimeLinx, which is our millwork category, we source a fair amount of millwork internationally. We also have some rebar that we source internationally, but it's such a small amount. It's primarily from the millwork category and the structural products or lumber category.
Reuben Garner: All right, thank you, guys. Good luck.
Operator: Next question comes from the line of Kurt Yinger with D.A. Davidson. Please go ahead.
Kurt Yinger : Great, thanks, and good morning, everyone. Recognizing the technology investments and the transportation management system investments, I guess, are there opportunities to maybe protect profitability a little bit better in this environment from an SG&A perspective, and how should we think about run rate SG&A going forward relative to what we saw here in Q1?
Shyam Reddy: Yes, so -- I don't have, from an SG&A standpoint, we'll continue to focus on operational excellence and our other pillars of business excellence in order to continuously improve on that front. At the end of the day, as we go through the summer, the SG&A as a percent of sales should improve. Obviously, with this past quarter, it was a little bit challenging given market conditions. But, look, at the end of the day, I mean, we're continuously focused on managing our cost structure so that it aligns with the sales function, even after taking into account the digital investment. So, even on the digital investment side, there continue to be opportunities for improvement and to be more efficient as we move forward and continue meeting additional milestones along Phase 1. And then, as we go into Phase 2, we should get greater leverage off the investments we made in Phase 1. At this point, other than being committed to managing our cost structure in a responsible way, there's really no change to our cost structure SG&A right now. Although, like I said, we are absolutely focused on being as efficient as possible in light of current market conditions without losing sight of the investments we need to make to drive our strategy.
Kurt Yinger: All right. And then, can you maybe just talk a little bit about, your visibility in the customer inventory levels at this point in the year, maybe how you would characterize that relative to normal and what you're seeing in terms of just general seasonality here going into Q2?
Shyam Reddy: Yes. Customer inventory levels were lower, generally speaking, just from a build-up standpoint. At the same time, however, usually when that happens and there's more uncertainty, two-step distribution can actually be very valuable because your customers want to buy less more often. So, instead of bringing in rail cars and materials, they'll bring in truckloads, which is perfect for us in terms of really making our just-in-time delivery proposition that much more valuable, our warehousing or working capital management that much more valuable. With uncertainty, there's a desire to try and, you know, make sure your balance sheet is strong at the customer level. And so, there's a little bit -- there's incremental value for us as we move through the coming months. But yes, we did see some of that build, and as they're working through it, combined with market conditions and weather, there was a little bit of a softening from a buy standpoint. But as I said earlier, we're picking up in Q2.
Kurt Yinger: And then, just lastly, on capital allocation, I mean, recognizing the desire to grow, we've been talking about M&A for a couple years now and recognizing it's tough to pinpoint, when or if transactions were to materialize. I guess just with the stock where it is, I mean, does it make sense with what you're seeing on the M&A side, looking at some of these transactions relative to where you're trading, or how are you prioritizing buybacks, just given where the stock's trading today?
Shyam Reddy: Yes. So, we will continue to review our capital allocation, our capital allocation strategy on top of the plans that we had for the year based on current and then current market conditions. So, it's one of the reasons why we said we're reviewing our CapEx, for example, as the market continues to evolve this year. Ultimately, at the end of the day, we are committed to Greenfields and M&A that support strategic growth. We're also committed to being opportunistic with respect to share repurchases and investing CapEx into the business that will support our growth objectives. But at the end of the day, we also are committed to maintaining a leverage target below two. So, all of those factors will come into play as we review our capital allocation over the course of the year. From an M&A standpoint, if there's a great deal to be had, we'll absolutely do it. If it supports our specialty sales growth objectives, our channel and product growth objectives, our geographic expansion objectives. But look, at the end of the day, we need to make sure it makes sense for the business. If it makes sense for the business, then we'll put our capital to that higher and better use in order to drive the business.
Kurt Yinger: Okay. And maybe just two follow-ups. Is there kind of a baseline level of kind of cash on hand that you would like to maintain? And second, when you kind of reference the two times leverage target and I guess where you would conceivably let the balance sheet and leverage go to, is that based on the kind of current net cash position or would that include a net debt figure that would include some of the real property leases?
Kim DeBrock: So, I think when we think about our leverage, we're really looking at it net of the real property finance leases. So, I mean, as it stands today, our goal is to keep our net leverage at two times or less. But as market conditions change and we continue to evaluate how the year progresses, we'll continue to evaluate our cash needs. We have lots of available capacity with our ABL.
Shyam Reddy: So, yes, look, the point is we have the leverage we can pull in different directions depending on what the then market, current market conditions are to pull, to make sure that we are within optimal leverage. And that's just, which is a great place to be. For example, even on the CapEx, the CapEx at this point, especially given the investments we've made over the last four years, for instance, give us a tremendous amount of flexibility now as we manage the timing of CapEx over the next 12 to 18 months. And which we can do depending on market conditions, but without losing sight of what the strategic, which the strategic goals are. Because look, we want to be well positioned to not only do well in challenging market conditions, all things considered, but more importantly, to be able to take advantage of the unlock on the housing recovery when it does come. Because it will come. And so, hence why we're making these strategic investments today.
Kurt Yinger: Okay. Thank you very much.
Operator: Your last question comes from the line of Jeffrey Stevenson with Loop Capital. Your line is now open. Please go ahead.
Jeffrey Stevenson : Hi, thanks for taking my questions today. So, what percent of your lumber is sourced from Canada? And could you make adjustments to your sourcing strategy if higher tariffs are implemented? And then, you know, following up on that, if the increased Canadian lumber tariffs go into effect, do you believe it could help stabilize EWP pricing and potentially inflect higher later this year as well?
Shyam Reddy: Yes. So, look, we have less than 20% exposure to Canada. And to your point, the products that we primarily source from Canada, based on how they flow through the market, will accept the increase in cost or increase in price to cover the tariffs in very short order, very quickly. Because as you know, lumber and panels are priced on a weekly basis. And then, given how we manage our commodity wood products strategically, I'm very confident that we'll be able to do that, you know, in real time. So, no issue there from a pass-through standpoint. As it relates to EWP, we are pretty much -- all EWP manufacturers in the U.S. source web stock from Canada. And so, we'll all be in the same boat as it relates to passing through that cost of any web stock that comes in from Canada that may be subject to a tariff. Although, nobody really knows what the end result will be. But the point is that as it relates to Canadian-sourced products, we all believe that we can pass the cost through with it ultimately being reflected in price. You know, at this point right now, the softness in the market combined with competitive market dynamics are really putting pressure on EWP. But that hasn't, you know, kept us from gaining share and growing our volumes with EWP, including in markets like, you know, the Pacific as we continue to move forward in the Pacific Northwest.
Jeffrey Stevenson: Understood. Thanks, Shyam, for that. And, you know, thanks for your commentary early on, you know, in market outlook. And it's been, you know, kind of well understood that, you know, the builder spring selling season is coming in below expectations due to ongoing affordability challenges and macro uncertainties. But I wanted to ask, you know, if you could provide an update on the progress of your pilot program implemented last year to increase your sales concentration with production builders over the coming years?
Shyam Reddy: Oh, yes. Sure. So, we invested in builder pull-through capabilities. And as a result of that, our focus on regional builders has led to programs that we've developed with them, and those programs are pulling our product through our customer base, our primary customer base. And that's been great. So, we've seen this in the build-to-rent area. We've also seen it with traditional big builders as well. And most of this progress is being made in the east, in the south, and we have some opportunities that we're exploring in the west as well. So, we feel pretty good about it. And that is honestly contributing to our -- contributing to various volume improvements in certain categories, especially given market decline -- general market declines not only across the country but in certain key markets. So, the effort is actually offsetting some of the decline you might already see, and at the same time, we're actually leveraging it to gain share. So, it's working, and we're excited about continuing to make the investments we need to drive further growth.
Jeffrey Stevenson: Great. No, it's good to hear. And then lastly, I appreciate your comments to Kurt's question on capital allocation. But, one of the things that's, you know, held you back from doing M&A over the last, you know, year or so is, you know, seller expectations, and just wondered if those have started to come in given the, you know, recent market uncertainty along with the, you know, the deflationary pressures the industry has experienced the last one to two years?
Shyam Reddy: Yes, we're starting to see more deal flow, and the expectations are coming down. The spreads are narrowing much faster than they were before, so we feel -- as we expected, we thought expectations would come down as they are, and more importantly, we're actually seeing more opportunities than -- today than we saw, let's say, 12 months ago.
Jeffrey Stevenson: Great. Thank you.
Operator: That concludes our Q&A session. I will now turn the call back over to Tom Morabito for closing remarks.
Tom Morabito : Thanks, Bella. Thank you again for joining us today, and we look forward to speaking with you in late July as we share our second quarter 2025 results.
Operator: That concludes today's call. Thank you all for joining. You may now disconnect.